Operator: Good day, and thank you for standing by. Welcome to Telkom Indonesia Corporate Presentation for First Quarter of 2023 Results Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded.
 I'd now like to hand the conference over to your first speaker today, Edwin Sebayang, VP Investor Relations. Please go ahead. 
Edwin Sebayang: Thank you. Ladies and gentlemen, welcome to PT Telkom Indonesia conference call for the unaudited results of first quarter year 2023. There will be an overview from our CEO, and followed by the Q&A after the session.
 Before we start, let me remind you that today's call and the responses to questions may contain forward-looking statements within the meaning of safe harbor. Actual results could differ materially from projections or estimations, and may involve risks and uncertainties that may cause actual results to be different from what we discussed today.
 Ladies and gentlemen, it is my pleasure now to introduce Telkom's Board of Directors, who are joining us today. First, Mr. Ririek Adriansyah as President, Director and CEO; Mr. Heri Supriadi as Finance and Risk Management Director; Mr. Herlan Wijanarko as Network and IT Solutions Director; Mr. Bogi Witjaksono as Wholesale International Service Director; Ms. Venusiana as Consumer Business Director and Enterprise and Business Service Acting Director; Mr. Budi Setyawan Wijaya as Strategic Portfolio Director; Mr. Muhamad Fajrin Rasyid as Digital Director; Mr. Afriwandi as Human Capital Managing Director. 
 Also present are the Board of Directors of Telkomsel, Mr. Mohamad Ramzy as Finance and Risk Management Director; Mr. Derrick Heng as Marketing Director; Mr. Adiwinahyu Basuki as Sales Director.
 I now hand over the call to our CEO, Mr. Ririek Adriansyah, for his overview. 
Ririek Adriansyah: Welcome to our conference call for the Unaudited First Quarter Year of 2023 results. We appreciate your participation in this call. We appreciate your participation in this call. 
 Entering the year of 2023, Telkom Group is very convinced that more prospective telecommunication business opportunities are looming ahead. With the 5 Bold Moves as our main strategy, we could continuously improve our competitive advantage in all aspects of the business. Business repositions into B2B and B2C telco market give the thrust for Telkom Group to concentrate on capturing more growth both in market share and revenue in digital connectivity, digital platform, and digital business. We are aware that in connectivity business, Telkom is the dominant player with 2 strong products in mobile, fixed wireless access and fixed broadband. That is why on the connectivity, which most of the revenue come from B2C segment, Telkom Group rely on Telkomsel to compete with other B2C telco players. Market synergy, CapEx and OpEx efficiency in the thin-margin business are the key success factors to win the competition in B2C.
 In B2B business, namely the digital platform and digital business, Telkom therefore could concentrate all resources and capabilities to capture more market share in high growth and profitability in this segment. However, Telkomsel still has to improve its internal capability and capacity to become one of the greatest players in data cloud, B2B IT services and digital company in Indonesia. 
 Just recently, in the first week of April 2023, Telkom has signed a conditional spinoff agreement or CSA with Telkomsel that marked the significant progress towards the implementing of fixed mobile convergence, or FMC, initiative under Telkomsel. Our grand strategy, 5 Bold Moves, will continuously be in effect to create sustainable long-term business growth. 
 During the first quarter of 2023, Telkomsel maintained growth in revenue and reported net income with an increase of 2.5% year-on-year and 5.5% year-on-year, respectively. EBITDA, however, decreased by 2% due to significant amount of spectrum costs allocation to keep our mobile business competitive advantages as part of the longer-term investment strategy.
 The biggest revenue contribution were still dominated by mobile and fixed broadband segment due to more favorable competition in mobile business and continuous growth of new customers in fixed broadband. Data, internet and IT services grew by 5.5% year-on-year while IndiHome contributed 5% growth year-on-year. 
 Supported by healthy conduct in mobile segment competition, Telkomsel still experienced a healthy growth in revenue of 1.1% year-on-year with EBITDA margin maintained at 55.7%.
 Digital business remained the engine of growth supported by the focus on maintaining dominance in network supply. The segment recorded positive performance with 7.1% year-on-year growth to IDR 18.15 billion and increased its contribution to total revenue at 84.4% from 79.7% in the same period last year.
 Ladies and gentlemen, in fixed broadband business, the competition is about to take up and become more intense, especially the high-income household segment that has been served by IndiHome and other competitor's products. IndiHome has become the market leader as main portion of the customer is on high-income customers. To maintain the sustainable growth, we are aiming the other income segment household within overall better services delivery across IndiHome's customers. IndiHome recorded positive growth in revenue and maintained its dominancy, contribution to the total consolidated Telkom's revenue has been steadily increased to IDR 7.2 trillion or by growing at 5% year-on-year. As of first quarter of 2023, the blended ARPU of IndiHome was diluted to IDR 264,000 with the additional new customers grew at 7% year-on-year, adding up its subscribers to 9.4 million customers.
 Along with the economic recovery in Indonesia, Enterprise business segment also grew in positive correlation. As of first quarter of 2023, Enterprise segment successfully grew by 7.8% year-on-year in revenue to IDR 4.5 trillion due to growing enterprise connectivity business, digital solutions and satellite business. This achievement marked the successful strategic alignment of Enterprise segment business and hope to be in positive territory throughout the year. 
 On the Wholesale & International business segment, it also experienced positive growth in the first quarter of 2023 by contributing IDR 4 trillion in revenue or increased by 4.0% year-on-year. The driver of Wholesale business revenue growth was driven by our growing international wholesale voice business and our digital infrastructure business. Our strategy of 5 Bold Moves continued to take its effects towards positive development. Among these positive movements were the signing of CSA in FMC initiative, intensifying activities towards the development of InfraCo, and consolidating Telin's international Data Centre Business to Telkom Data Ecosystem. Some materialized implementations of our strategy are as follows: on the 6th of April 2023, Telkom and Telkomsel already signed the conditional spin-off agreement, or CSA, in which Telkom agreed to transfer its IndiHome business to its controlled subsidiary, namely Telkomsel. 
 As the consequence of this transaction, as the party who transfer its business to Telkomsel, Telkom's shareholding position increased from 65% to 69.9% whereby Singtel as the minority shareholder diluted its shares in Telkomsel from 35% to 30.1%. FMC initiative's execution is very strategic to maintain the competitiveness and advantage of the company in facing business competition in the Indonesian telecommunications sector and to improve the quality of services provided to the customers.
 In addition, the spin-off of the IndiHome business segment to Telkomsel is also expected to accelerate the process of providing broadband services to the public throughout all regions of Indonesia. As part of our commitment to enhance our good corporate governance, Telkom put serious attention to the minority shareholder's interest for every significant corporate action. 
 Before FMC's final step towards the spin-off agreement, Telkom already proposed independent general shareholders' meeting to seek the approval of this corporate action. Post spin-off agreement signing, Telkomsel will fully control the implementation of FMC initiative by preparing human resources management such as organization, human capital and working culture as well as business and commercial aspects such as product differentiation, sales strategy and synergy value. 
 Following the FMC initiative, Telkom will continue InfraCo project to explore the potential of unlocking its asset through infra sharing, either within the group or sell to the telco industry if any idle capacity exists with B2B arrangement. By implementing the InfraCo initiative, Telkom could position InfraCo as the solution to telco industry, which currently face industry headwinds such as growth saturation and declining profit as well as CapEx pressure. In the near future, we will develop a business plan and carve-out scenario, establish a new entity to manage the business and align fiber-related business portfolio within Telkom Group.
 Data center and cloud remained as one of the areas that become our focus as the demand is growing significantly with the rising activities in digital business players. Our HDC Cikarang has secured several anchor tenants as the first campus building has completed. In addition to our growing data center business, TDE expects to add 21 megawatt this year coming from the consolidation of DC Telin Singapore of around 17 megawatt and Cikarang HDC 4 megawatt. Within the year of 2023, TDE also manage to further consolidate overseas data center in Singapore and Hongkong with Telin so that DC overseas will become part of TDE's ownership. 
 Following the acquisition of 997 towers from IOH, we expect Mitratel could strengthen its position as the largest tower provider in Southeast Asia in terms of total tower ownership of 36,439 towers. Mitratel is also expanding to the Fiber to the Tower business as part of its strategy to strengthen its product portfolio to become a digital infrastructure company. Mitratel also expanded its portfolio in the fiber optic sector to strengthen the business ecosystem.
 That's the ending of my remarks and thank you for your kind attention. 
Edwin Sebayang: Thank you, Pak Ririek. We will now begin the Q&A session. [Operator Instructions] Operator, may I have the first question, please? 
Operator: [Operator Instructions] I'll now invite the first question from the line of Hussaini Saifee from UBS. 
Hussaini Saifee: Several questions from me. First is on the mobile side. Now we see that there has been a high level of competitive rationality and price increases in the market. But despite that, we are seeing that the revenue growth remain relatively low or relatively subdued. My question is what is needed for the industry price increases and competitive rationality to better flow through into revenues? Do you think that the weak macro economy is weighing on the growth side? That's question number one. 
 Second question is on the fixed broadband competition. And in the earlier remarks, it was alluded that it is likely intensifying. My question is, can you please provide more color like is the competition mainly concentrated in big cities. And have you seen the churn level increasing on that side? And where do you think that the new ARPU levels in the fixed broadband is settling down? And just a housekeeping question. Why general and administrative and interconnect costs rose sharply in quarter 1? 
Mohamad Ramzy: Okay. I will take on the first question about the impact of the macro as well as the potential growth in terms of the mobile. On the growth side, actually, our growth for the first year, 1.1% compared to last year is contributed by 2 key items. First, the declining of legacy which currently contributes about 15% of total revenue. It's still declining by 22% on a year-on-year basis. But in terms of the mobile broadband as well as digital services, we see the strong growth supported by our wireless growth by 11% and it also contributes to the growth of the revenue of about 7% -- 7.1%.
 In terms of the macro side, we were aware of that impact mostly in the increasing of the inflation. As the current quarter inflation is about almost 5% compared with previous one in around 3.75%. So in some of the offering to the customer, we look and attracted the right offering to the customer by also seeing the competitiveness in each of our clusters. So I think we still look at the right track in terms of the improvement of the overall industry healthiness. And by doing so, I think in the ground level, we see that the other operators also is doing so. I hope that can have the feedback for your question, Saifee. Thank you. 
Hussaini Saifee: Movements in the fixed broadband competition, especially in the big cities? 
F. M Venusiana: Yes. Actually, we're facing the very high competition in the big cities. There are many local competition -- competitors coming, and we fight each other. And there are many new customers with some as you go to efficiency, they don't get to 1P only -- Internet only. So the growth of revenue as the group. But it's a level increase because of the high competition, operator offers a very attractive pricing with a fairly cheap price with high speed. So there are some customer move to the competition -- competitor. And then we offer customers to maintain the -- retain the customer by offering to increase with the only Internet because some of customers they don't want to continue with 3P, even though the 2P because they don't want to go to the 3P with the TV or the fixed phone. So the only want to go with the Internet only. This is for the ARPU level. They've been good because of this. 
Heri Supriadi: On your housekeeping question on why the G&A cost increased significantly. I think mostly, this is related to the, I think, first quarter seasonality in which we were conservative in recognizing the revenue, along with, I think, allocate the -- some, I think, allowance for the best step. But this is longer time, the growth of the -- I think, in terms of allowance for a bit, that's going to be like the growth of the revenue itself. This is -- it means the number of growth going to be moderating around the time. 
 And second, growth also coming -- in the first quarter of this year coming from the provisional fees related to the cost of doing this corporate actions. We do a lot of corporate actions in the first quarter this year, along with all the professional support that we need. This is also for the time going to be becoming gradual. I think smooth growth as most of the activities are going to happen in the first half of this year. So that's about the G&A.
 In the interconnection expenses, it is because the -- it is following the trend of the business. Most of the business now going to the A2P, some in the more personal interconnection becoming less and the market is also becoming more competitive as some technology in the present also make, I think, the margin becoming a bit moderate as well. So this, I think, is in line with the business overall. So in the end, you're going to see, over the years, the growth of both cost going to be smoothly in line with the growth of the business. So that's, I think, the explanation that we can provide to you. I think adding to the fixed broadband competition as mentioned by my colleague, Ibu Venus. 
 In terms of churn, we basically can maintain this one by adjusting some price and other demand because in the past during the COVID period, some of the customers really required high speed of broadband. They reduced the speed of broadband. We can basically entertain them as well on this one. This can also maintain the level of churn. As you can see, the -- although we acquired BC with, I think, the consolidation between this IndiHome with Telkomsel, we're still able to have subscriber growth around 140,000. With this, I think, combined fixed mobile convergence we do expect this number going to increase significantly over the next quarters. So that's I think... 
Ririek Adriansyah: Just a quick addition to the Telkomsel fixed broadband internet. Telkomsel, if you look at the Telkomsel business, especially the legacy business, which is basically broadband and digital, the growth of the Telkomsel is comparable with other players. And then on the fixed broadband and the churn rate, yes, the churn rate is increasing, but we managed to have the net effect positive and at a healthy level. 
Edwin Sebayang: Do you have any further questions as Pak Hussaini? 
Hussaini Saifee: No. This is very clear. I will get back into the queue for more questions. 
Edwin Sebayang: Next question, please, from Ranjan Sharma. 
Operator: Your next question is from Mr. Ranjan Sharma of JPMorgan. 
Ranjan Sharma: I have a bunch of questions. So maybe one feedback. The line is not clear. If you want to speak closer to the mic, it's just very difficult for us to follow. My questions are like if -- are you expecting the wireless revenues growth to accelerate in the coming quarters with the adjustments on tariffs? Or should we expect like 1%, 2% growth for the foreseeable future? 
 The second question is on the cost side. If your underlying revenues are declining 6%, 7% and this pressure on inflation, then does the management have any cost optimization programs in place, which can support the bottom line? Similarly, if there's less demand for triple-play fixed broadband services, is there any plans to also like reduce the content costs as well? 
Heri Supriadi: I'll start with that. I think on the inflation and cost side, maybe later my colleague going to answer you on the wireless revenue that we do expect also going to be improved in the upcoming quarters. On the inflation side, of course, if you see the cost that we have, why, for example, operation and maintenance cost becoming slightly increased higher than the revenue because we have new spectrum that are coming this quarter in which in the similar quarter last year, the cost is not there yet. We have additional spectrum back in November last year. So this is becoming kind of -- the trends why the cost of operation and maintenance becoming high. The amount of the new spectrum costs around IDR 222 billion. And this, along with the time, we expect can maximize the use of the spectrum that can reduce the CapEx and OpEx as well. This, in the long run, is going to provide, I think, competitive advantage and also some CapEx and OpEx saving. 
 And then on the other side, some costs also coming from the -- because the new tax on the personnel expenses that are coming this year and then some, I think, allowance for bad debt that we are using a bit more conservative approach. But if we basically normalize all that cost, actually, it is supposed to be quite manageable despite the revenue still increased around 2.5%. It means we already used some of the measurement on the efficiency. So moving forward, we do expect this going to be continue. So the top line, we try to expand the growth in mobile as well in the fixed line side, in the Enterprise and some in the Wholesale like tower and then data center and so on. The figure along the time going to be improved that we believe. So I think go to cellular side and Ramzy you can... 
Mohamad Ramzy: Yes. Thank you, Pak. Just to add some color on the cost side, actually, before this year, since 2021, we start the initiative to do the cost transformation, which at that time, to see all the cost drivers that still have some room to improve and to do some efficiency. And as you can see in the current report on the quarter-on-quarter basis and also on a year-on-year basis, actually, we have some improvements in terms of the marketing and sales costs as well as from the cost of services, which also ties up with our strategy to have the better acquisition to our new customers as well as better offer to our existing customer base. That also contributes -- that also comes from our renegotiation with the vendors such as from the [ run ] as well as from the tower rental. So all of that still follow in the following quarter. And effectively, it also contributed to the improvement in our middle and bottom line.
 In terms of the expecting growth this year, actually, just last month, we just had Ramadan [indiscernible] session. Usually, at that session, we also monetize our offering to the customer as well as some peak payload comes from the users' debt swap by our network. I will let our colleague from marketing, Derrick add some color on this one. 
Derrick Heng: Yes, Pak Ramzy. Yes, allow me to continue some of our thoughts on our pricing strategy moving forward in 2023. So we will continue to drive market repair we have gained from a healthier conduct, and we will maintain this to drive competitiveness, customer centricity, and we will look into being more simplifying our products and to do differentiation. We will scale up our content offering as well as our CDN efforts to provide a similar package to stay relevant to our customers. So we will apply multiple strategies, which include feed the market needs. We will be technical and granular in terms of where we want to target our customers. So we are on the search for optimal level of pricing when we do price adjustment, but we will keep continuing to monitor the balance between profitability and market share. Thank you. 
Ranjan Sharma: Can I just have quick 2 follow-ups? With all the things that the management has clarified, do they expect an acceleration of wireless growth in the coming quarters? And regarding content, again, like if people are choosing not to go for 3P or triple-play plans, not to take bundled content from telecom operators, can content be a source of differentiation for telcos? 
Mohamad Ramzy: Okay. On the first question, actually, we still maintain our outlook in cellular in low single-digit growth, and it goes hopefully till the end of this year. But especially on the second quarter, I think we expect to have a better month as we experienced the first discussion in the Ramadan [indiscernible]. 
Unknown Executive: Pak Ramzy, I would like to add still on customer choice with regards to digital content. I think we have a proposition that's relevant to our customers. When we offer a partner with our digital content offering, we also bundle in mobile data so that customers can enjoy watching entertainment while on the move. So that is our key proposition and we drive more value to our customers. Thank you. 
Operator: Next up, we have the line from Piyush Choudhary from HSBC. 
Piyush Choudhary: A few questions. Firstly, in mobile, I'm just trying to understand what is leading to sequentially. If we look at quarter-on-quarter decline in your mobile revenue, it's around 6%. It is even higher than the first quarter of '21 or first quarter of '22 on a sequential basis. So is this an impact of inflation? Or what other factors are playing a role? If you can just highlight us. And would the company still target mid-single-digit growth in mobile for 2023? 
 Secondly, on the cost side, you mentioned a few factors which have played a role in first quarter like higher spectrum costs and provisions for corporate actions. Could you spell that amount for both of them, spectrum cost and provision for cost reductions, which you have taken in first quarter? And any other one-off cost in the results? And lastly, could you tell us what is the likely synergy benefits for cost savings you would have when IndiHome would be merged with Telkomsel? 
Unknown Executive: Let me take the first question on the mobile side. On the Q-on-Q basis, if we see on the revenue, yes, there were always a seasonal impact on Q4 to Q1 [indiscernible]. However, this Q4 to Q1 compared to last year, the impact higher in the legacy part. So as mentioned by Ramzy, our legacy part is still 15% in overall revenue performance. And that especially impacted the higher compared to the last Q-on-Q and of last year. So that is probably a question number 1. Thank you. 
Heri Supriadi: Okay. Pak Piyush, on the cost, I will try to explain like this. The professional fees has increased around 75%, 72% to 75% around -- in absolute amount around IDR [indiscernible] billion increase year-on-year. And then in the provision for bad debt that increased around IDR 350 billion compared to last year in the period. And then I think -- and the other cost, if you see high cost, the -- I think in the bottom line, you can see also in the ForEx loss, we experienced a ForEx loss around IDR 50 billion. In the similar period of last year, we basically recognized around IDR 100 billion gain on that one. It is because we have a net position in the dollar, I think, outstanding around USD 600 million that part of our investment in the -- I think in the digital and so on and also our basically deposit in the USD for covering our expenses number one. 
 All of the costs that are coming this year that we compared to last year. But we also believe that's going to be the trend going to be smoother along the time after the end of the year, especially in the bad debt, it is supposed to be in line with the revenue growth and so on in the spectrum because I think the trade-off benefit can be expected coming from the more efficient or growth in the basically operation and maintenance of telecom sales, right? I think that's about the situation of the cost. And then on spectrum... 
Piyush Choudhary: How much was the spectrum costs, which you have to pay for the new spectrum, which you have bought? 
Heri Supriadi: Yes, around IDR 222 billion, which is a lot more. We don't have that now. Yes for that... 
Piyush Choudhary: IDR 220 billion? 
Heri Supriadi: IDR 222 billion. 
Piyush Choudhary: Okay. Thanks, Pak. And the merger synergy benefits, any color on that? 
Heri Supriadi: Synergy benefits we're going to have in both cost savings and also CapEx saving. Of course, that's going to be granular over the time. For example, in the CapEx side, currently, we give you guidance around 25% of revenue will bring the spend. In 2027, we do expect the range was to be around 20% to 22% of revenue, which means to the revenue, it is supposed to end up around 20%. And meanwhile, in the OpEx side, along the time, we also expect some OpEx can be safe. Basically, in 5 years, we do expect we can get the synergy around IDR 7 trillion, around IDR 5 trillion in 2027. Although this can be recurring saving both from CapEx and OpEx [Technical Difficulty] 
Piyush Choudhary: Sorry, the line was a little disconnected. So how much total savings you said by 2027? 
Heri Supriadi: In 2027, we do expect a yearly around IDR 5 trillion EBITDA -- additional EBITDA. 
Piyush Choudhary: Around IDR 5 trillion? Okay. 
Heri Supriadi: Yes. And then this is the question to the mobile. We will just stay in the mid-single digits or lower, I think over the time, but I already explained to you the percent of legacy continue to -- at the same time, actually, you see only in the digital connectivity, that's quite comparable to our competitors. So we still expect the airline still the same as we have, I think, 3 quarters to go. 
Piyush Choudhary: I was referring to more 2023 kind of wireless revenue growth target, if you can elaborate on that? 
Mohamad Ramzy: In some of the wireless revenue growth, we still maintain our guidance low to mid-single digit. 
Operator: Next question comes from the line of Arthur Pineda from Citi. 
Arthur Pineda: Several questions. Firstly, on mobile. I know you mentioned legacy revenues as part of the drag on the mobile momentum. Now this seems to have been the case for many years now. And the problem seems to be more punctuated for you versus peers. When do we actually see your legacy revenues as being aligned to peers so that you can grow alongside market levels? 
 Second question I had is with regard to inflation. You mentioned that this has been impacting mobile revenue as well. Given that it remains high, how does this impact the prospect of price increases for the remainder of the year if consumers are seeing harder time absorbing price increases? 
 And lastly, on fixed broadband momentum, revenues were up 5%, and that's again lower versus regional peers, which are facing far more saturated levels. Are we seeing Indonesia generally grow slower versus other countries? Or are you just seeing escalated competition weighing down on revenue momentum on this side? What can happen for that it can actually grow faster? 
Mohamad Ramzy: Okay. On the [Technical Difficulty] like to share our [Technical Difficulty]. Actually, on the legacy, it's significantly in our profitability. And we still can maintain our [Technical Difficulty] if you compare to the other operators... 
Arthur Pineda: Sorry, the line is really bad. I think the microphone is a bit far. 
Mohamad Ramzy: How is it now? 
Arthur Pineda: Much better. Much better. 
Mohamad Ramzy: Yes. So just to have some color on this one. Actually, on the legacy, as you can see now, our contribution from legacy is still declining, but now it's around 15%. But you can also aware that the legacy contribute in high profitability. If we compare to the other operators, I think this is already in a level of less than 10%. Some of that is even in the 5%. So, we still see the potential declining of this until it stabilized at around 5% to 10% contribution of the revenue, which, in our case, maybe in the next 2 or 2.5 years ahead. 
 On the other hand, we have some good momentum in terms of the payload growth and also the payload per users growth as currently in average, our customers reach about 12 gigabytes. It's but 12% compared to the previous year. So it shows that the consumption from the customers is quite in line with our ability as well as the payload projection. So that's on the number one question. Secondly, on the inflation and price, Derrick, please add the color on this one. 
Heri Supriadi: Pak Derrick, could you please explain about the impact of inflation to the possibility of the growth? Derrick? Maybe I got the next question on fixed broadband. On the fixed broadband, basically with penetration of fixed broadband around 14%, which is very low compared to most of incomparable [indiscernible] around 50% plus. We believe the potential is still there. The -- I think the situation that we are facing, we need to address the market with the lower investment [Technical Difficulty] on this one. So we believe we can address that one with cheaper than market technology. That is going to increase the total size of the market as well. So that was it, so we don't think that the market is slower, but we need to actually expand lower rate of market potential. That would [Technical Difficulty] 
F. M Venusiana: Can I add? 
Ririek Adriansyah: Yes. 
F. M Venusiana: [Technical Difficulty] 
Arthur Pineda: Sorry, the mic is a bit far, we couldn't hear you. 
F. M Venusiana: Okay. [Technical Difficulty] is almost same with the Indonesian [Technical Difficulty] And if we compare with the global [Technical Difficulty] in Japan it's about 3.1%. Malaysia is 4.5% and Singapore 2.5%. So I think you can maintain [Technical Difficulty] 
Arthur Pineda: Understood. I don't know if you can look back to the inflation impact on price increases if that's still doable? 
Unknown Executive: Okay. Can you hear us? Yes, just on the inflation. Obviously, we're always cautious on this inflation impact on our customers, especially on the segments that are having what you're spending on the inflation impact. We do have selective price portfolio update from time to time. And especially on our physical voucher, which are actually always the demand for the low segment, which is impacted through the inflation, we believe the product availability and price are very sensitive. So we do monitor whenever we need to have a price adjustment. And in fact, we really maintain the price if it's necessary. And then for the HPC, of course, we saw that this is not really high impact to the inflation. So we could have more flexible on do some price adjustments while looking at the competition point of view and also customers' adoption. Thank you. 
Operator: [Operator Instructions] We have the follow-up questions from Ranjan Sharma from JPMorgan. 
Ranjan Sharma: Just 1 quick follow-up. If you can, again, remind us about the guidance for 2023 and are there any changes? 
Heri Supriadi: Pak Ranjan, we are still keeping the guidance as we believe the cellular is going to improve over the time with IndiHome combined with mobile becoming fixed mobile convergence that can address home broadband. We also believe that with these initiatives, we can accelerate the growth in the second half of the years and also some other business, especially in the Enterprise and also in the Wholesale, for example, the tower data center can provide let's say, low 10 or double digits. And this is going to provide us with, I think, a potential to keep the growth in the same like the guideline that we already provide to you. That's, I think, explanation from us. 
Ranjan Sharma: Okay. And on the margin side? 
Heri Supriadi: On the margin side, of course, we try to maximize all the potential cost saving on this one. We also keep that guideline with the maximum effort to keep the costs still in line with the guideline. 
Operator: Thank you very much for the questions. As of now, there are no more questions from the line. May I hand the call back to the management for closing remarks. 
Edwin Sebayang: Thank you, everyone, for participating in today's call. We apologize for those whose questions could not be addressed yet. Should you have any further questions, please don't hesitate to contact us directly. 
Operator: That does conclude today's conference call. Thank you for your participation. You may now disconnect your lines.